Operator: Good day, ladies and gentlemen, and welcome to the MultiChoice Group Financial Year 2025 Interim Results Call. All participants will be in listen-only mode. There will be an opportunity to ask questions later during the conference. [Operator Instructions] Please note that this call is being recorded. I would now like to hand the conference over to Meloy Horn. Please go ahead.
Meloy Horn: Thank you, Irene and welcome everybody. Thank you for joining our call today. Hope you've all received the details of our results, including today's presentation, by e-mail or on our website. As a quick introduction, the MultiChoice's panel for today's session is our CEO, Calvo Mawela; and our CFO, Tim Jacobs; while Byron Du Plessis, our deputy CFO, will be joining for the Q&A. So, to get things going, let me hand you over to Calvo.
Calvo Mawela: Good afternoon everyone and welcome to today's interim result presentation. Let's start by turning into Slide 2 for some upfront comments. The past year and a half has been one of the most testing periods in our almost 40 years in Africa. Not only do we have to face the most severe foreign exchange environment in the group's history, but with most markets across our footprint still economically challenged, our year-on-year subscriber growth has also disappointed. Although some things are beyond our control, we did not let it distract from executing on our strategy nor on our commitment to bring our customers the best video entertainment content. Circumstances have forced us to accelerate our normal cost savings program, resulting in permanent savings of ZAR1.3 billion in our cost base. To generate the right returns, a core focus over the next few years will be to right-size the business for the current economic realities and ongoing industry challenges. In addition and to support long-term growth, we will also continue to grow new revenue streams, which are all showing great traction already. Through our investment in Showmax, we will ensure that we are well positioned to participate in the three main revolutions once it takes off at scale across Africa. We remain a growing concern with more than ZAR10 billion in total liquidity. The negative equity position that resulted from non-cash accounting entries at the year-end has led to a lot of frustration and confusion in the market. We are glad to announce that there are a number of developments and initiatives that will resolve the negative equity position by the end of November this year. As the past ix months have been like no other, I would like to take some time in my overview to focus on how we are adapting to changing global trends, impacting pay-TV operators like ourselves. In the operations sections thereafter, I'll discuss how we are executing on these business plans, after which Tim will take you through our interim financials in more detail and provide an outlook for the rest of the year. Globally, the pay-TV industry is facing challenges from streaming services, the rise of social media, and changing consumer preferences. Although satellite TV remains the cheapest way to broadcast rich media content across the African continent, this too will change in time. On Slide 5, we take a look at how the global video entertainment landscape is evolving. The chart on the left from Omdia's October 2024 report showed that pay-TV subscribers and revenues have peaked globally, with subscriber growth mainly coming from online video. As a result, streaming revenues are rapidly catching up with that of traditional pay-TV. On the African continent, however, online video still has some way to go. The chart on the right shows online video subscribers at only 5% of households, well below the 39% global average. Affordability and availability of suitable broadband from streaming remain a challenge, but things are changing. For us, it is not a case of if, but rather when streaming takes off. Through Showmax, we have positioned ourselves to participate in the strategic shift and the future growth of online video on the continent. In the meantime, our mix of traditional satellite and traditional pay-TV services, combined with our streaming offering, puts us in the best position to continue to meet Africa's growing video entertainment needs. Moving to Slide 6. Facing a decline in pay-TV subscriptions and revenues due to cost-cutting, traditional broadcasters in developed markets had to adapt their business models. They did so by broadening and innovating their service offerings. Outside of pricing to support topline growth, they launched paid-for and ad-supported streaming services, bundled services such as Internet or mobile, and introduced value-added services such as gaming. We have also seen an increase in the streaming of sport content, especially on mobile and several new partnerships have been announced. We have commented in the past on the benefit of being able to evaluate these global trends before we pursue them, which often allow us to avoid the pitfalls encountered by first movers. Looking at what works globally, we have assembled and are also constantly evaluating a range of solutions to bundle content and products that allow our customers to stay within our platform while enjoying a broader range of services. Similar to global broadcasters and in addition to offering our core video entertainment services, we have invested in gaming, launched DStv Internet, relaunched Showmax to drive our streaming ambitions, and added the EPL and the current local PSL football leagues to our Showmax offering. Turning to Slide 7. Over the past few years, we have successfully been implementing our strategy of a broader service offering. Strategic milestones since 2020 include the investment in KingMakers, the conclusion of the Showmax partnership with Comcast, returning the rest of Africa business to profitability, and the investment last year in Moment. While adapting to change as planned, our financial performance over the past 18 months has been materially derailed by abnormal currency headwinds, particularly in Nigeria, our second largest market. Operating in Africa, we have always assumed some inflation-linked currency depreciation in our planning. However, recent currency weakness have been beyond anything we had anticipated. The extent of this currency knock is evident in the graph on this page. The black line shows our actual reported trading profit over time. The blue dotted line reflects the results adjusted for a more normalized currency depreciation, and it shows what our numbers would have looked like had currencies depreciated in line with historic trends. After a steady start since listing, things changed materially last year when the abnormal ForEx impact trimmed our profits by ZAR3.7 billion, with another ZAR1.8 billion abnormal hit in this interim period. A situation like this, combined with the impact of a weak macro environment on consumers' disposable income, required us to fundamentally adjust our cost base, which is exactly what we did. On Slide 8, the chart on the left shows how. After delivering cost savings of around ZAR1 billion per year in the first few years since listing, we have ramped up permanent cost savings to over ZAR3.2 billion over the past 18 months. And while we have made huge inroads to reduce our cost base, we still have some way to go to deliver the right returns going forward. We'll continue to make considered strategic trade-offs to right-size our business and have increased our cost savings target to at least ZAR2.5 billion this year. But we cannot rely on cost cutting only to drive returns. We need to grow the business, too. We are very happy that our investment in new opportunities continue to deliver strong growth. And as several of them are run by their own management teams, they cause little distraction for us in managing and innovating our core business. For example, KingMakers continue to grow strongly. Not only have BetKing increased its monthly active users in Nigeria by 49% over the past two years, but they also grew the naira revenues by 86% over the same period. Moment's total payment volumes has grown materially in just six months, and it achieved gross profit in June, just 12 months after launch. The value of the business has already increased six-fold since our initial investment almost 18 months ago, representing a great return on our invested capital. And while we are positioning the business for future success by pursuing growth opportunities, we'll remain completely focused on what we do best, bringing the magic of video entertainment to millions of households across the continent. So, let us now have a look in more detail at our operations. Slide 10 serve as a reminder of our strategy. As Africa's most loved storyteller, we cater for customers' entertainment needs in their homes and on the move. We continue to innovate, partner, invest to grow from our core linear video entertainment business by developing and scaling adjacent streaming, and interactive entertainment services. And true to our vision, we keep enriching the lives of millions of people through entertainment and technology. Turning to Slide 11. Catering for our customers' needs mean we provide different technologies, price points, and brands, but in the end, it is all about the content. Our core focus is to offer our customers the content that they love; local, international, or sports. And to deliver it using the distribution technologies that they prefer, whether through satellite or terrestrial networks, online services, or through connected set-top boxes. We price our products differently to cater for different levels of disposable income. And while historical, our entertainment services were aimed at households, we are increasing our focus on the entertainment needs of individuals who are accessing our world of entertainment using their mobile devices. Content remains at the heart of what we do. But in the current environment, optimizing our content spend to ensure the best returns is also critically important. On Slide 12, you will see that despite the extra content costs incurred by newly launched Showmax, we have reduced our general entertainment content spend by 10% year-on-year. Our total content costs, which includes sport, as a percentage of revenues, compares favorably to our global peers. And although we are optimizing spend, we continue to license some of the best international content available, not only through our long-term content partners, but also through the recently renewed channel agreements with NBC, Universal, DreamWorks, and Zee. Moving to Slide 13. Given the group's overarching focus on driving cost savings, we have had to carefully balance the need to invest in local content as a key differentiator. We enhanced cost efficiencies through tactical content windowing and content sharing, as well as through ongoing channel optimization. This resulted in cost savings of 10% year-on-year. We remain the largest producer of original high-quality content on the African continent. Over the past six months, we have produced 2,763 hours of local content, accounting for half of our general entertainment spend. This has allowed us to expand our local content library, which has been growing steadily over the past few years by 8% to more than 86,000 hours. Slide 14 reflects some sporting highlights. True to its reputation as one of the world's leading sport broadcasters, SuperSport renewed or extended several popular sports rights and broadcast more than 10,000 live sports events over the past six months, an increase of 10% year-on-year. The total number of live sport hours broadcast at almost 22,000 hours represent a significant 22% increase year-on-year and confirm SuperSport's status as the home of champions. We have delivered the most extensive Olympic games broadcast globally during Paris 2024 and as a result, we enjoyed a 20% increase in unique viewers compared to Tokyo 2020. Other exciting sporting events over the past six months included Euro 2024 Football, the ICC T20 Men's World Cup, and the exciting Rugby Championship, which once again, culminated in the Springbok victory. SuperSport Schools is another big success story, doubling its user base by crossing a milestone of 1 million registered users. It delivered over 35,000 hours of content, resulting in more than 1.2 billion minutes of content being viewed since the beginning of April this year. This interim period also saw some new SuperSport innovations such as brand-new unplugged podcast and the use of new technologies, including the specialized Buggy Cam camera and the very successful super screen format. An exciting new initiative was the launch of SuperSport experiences, offering bespoke sport experiences in partnership with DStv Rewards. This includes early bird's tickets to the Springbok test matches, select Premier League experiences, and for the fans, we have F1 Abu Dhabi offering coming up soon. Turning to Slide 15. Streaming will play a critical role in the future of entertainment. However, as it is impossible to perfectly time its takeoff on the African continent, we are investing in Showmax now to ensure we create capacity for growth. Following a successful relaunch in February, the focus of the Showmax team has shifted to expanding its content slate, bedding down distribution partnership, increasing payment channel integrations, and refining the go-to-market strategy. Showmax saw its active paying subscribers grow by 30% since relaunch or 50% year-on-year, excluding the impact of the discontinued Showmax Pro and the Diaspora offerings. After the successful integration of M-PESA as a payment option, Showmax relaunched in Kenya in May, followed by a recent partnership with Safaricom. In South Africa, we successfully launched a distribution partnership with Capitec in August and added the current South African Premier Soccer League to our mobile-only EPL offering in September. In our mature South African business, we remain focused on driving subscriber retention and reconnections and on identifying pockets of growth, while optimizing business processes and systems for improved customer experience and operating efficiencies. Over the past six months, we have made significant improvement to our DStv Stream service with the introduction of 10 new features such as continue watching or watch from the start. We also pushed hard to reduce latency, which has improved to a leading global standard of only nine seconds. Overall, platform stability has improved and customer satisfaction is up 9% so far this year. To drive retention, we ramped our DStv Rewards program with improved functionality and a fresh branding, as well as the introduction of new features such as DStv Wheel and DStv Coins. And to drive costs and operational efficiencies, we have continued to drive digital migration to our DStv app to save call center costs and incorporated AI into different aspects of our businesses, such as creating the highlight clips on SuperSport or to assist content discovery in streaming. Slide 17 provides an update on our South African customer base, which declined 5% year-on-year, but reflects an improving sequential trend. Sentiment and conditions in the South African market is starting to trend in the right direction due to six months of no load-shedding and with interest rates starting to come down. While this is definitely encouraging, it will take time for this positive development to play through. The pressure on consumers over the past few years have been most evident in our Compact and Compact Plus bookers that essentially serve middle-income households, even though Compact Plus is included in the premium segment for reporting purposes. The two charts on the left highlight just two of the many challenges. Mid-market real personal income declined by 10% over the past two years and debt installment as a percentage of middle-class income rose to 79%. For example, due to hike in interest rate, the monthly installment for a ZAR1.5 million loan taken out in mid-2021 will have increased by more than ZAR4,000 a month, leaving very little money for discretionary products such as ours. As a result, we are constantly evaluating our content mix and value proposition across our service offering to ensure that we meet customer expectations. The graph on the right show the growth trends of the various segments of our customer base. The Access base has seen an improved activity and reconnection rates, coinciding with the elimination of load-shedding and aided by additional sporting content such as La Liga and popular programming such as Sibongile & the Dlaminis. Outside of the macro challenges, the Compact and Compact Plus basis were affected by the late start of this year's Premier Soccer League in South Africa, which was delayed until mid-September. In contrast, the Premium base, which excludes Compact Plus, traded broadly in line with expectations and is approaching an anticipated level of stability. The DStv Stream and Access Stream at more normalized levels from the elevated base around last year's Rugby World Cup saw user activity responding well to the substantial upgrades to the user experience and user interface in August. On Slide 18, we show the evolution of ARPU in the South African business, which has increased 3% year-on-year to ZAR289, the first improvement in this metric since 2017. This positive trend was supported by pricing and good traction in DStv Internet subscriptions. Over the years, we have come to appreciate the benefits of a disciplined approach to pricing to offset the impact of inflation. In the short-term, price hikes typically result in revenue uplift as the chart on this page shows, but also contributed to the change in volumes and mix, as some consumers need time to adjust their spending patterns. Over the long-term though, it drives the right outcomes. Incremental revenues from our Internet insurance businesses contributed meaningfully to offset the impact of lower video subscription revenues. The DStv Internet customer base almost doubled again year-on-year, driving an additional ZAR100 million in revenues. Although DStv Insurance policies declined slightly on elevated consumer pressures in the mid-market and improved product mix due to the introduction of the Device Care Plan, resulted in a 31% year-on-year increase in insurance revenues. Turning to Slide 19. Our business in the rest of Africa have been facing multiple challenges across several markets since last year. And unfortunately, these trends have not yet abated. After a period of relative stability, power issues are again preventing customers from accessing our services. In Nigeria, the national grid has already collapsed 6 times this year. Zambia is dealing with its worst drought in 20 years, causing businesses and households to be without hydro-powered electricity for more than 20 hours a day. And as the regional drought in Southern Africa continues, we are now also seeing Zimbabwe battling power disruptions. In Nigeria specifically, fuel scarcity and the removal of fuel subsidy drove up transport costs, with rising food prices and significantly reduced economic activity, the indirect result. Another major challenge for the business has been severe currency weakness in many of the largest markets. Not only did this affect our financials, but it also contributed to ramp-up deflation. All these challenges have had a very negative impact on discretionary spend and the ability of our customers to subscribe to our services. Although many of them have decoders in their homes, they simply could not afford to switch them on. Slide 20 provides an update on our rest of Africa subscriber base. While the rest of Africa business saw a drop of more than 800,000 subscribers in the second half of FY 2024, the pressure started to ease in the second half of the reporting period. As a result, we saw a substantial slowdown in the attrition rate to 7%. Of the roughly 600,000 customers that we lost over the past six months, 50% came from Zambia and 43% came from Nigeria with the remaining markets holding up fairly well. As most of the customer losses came from the mass-market, a combination of price increases and an improved customer mix provided some support, but due to lower activity levels and severe currency weaknesses across many markets, blended ARPU in dollars dropped from $9 to $8. Moving to Slide 21. Although Nigeria's large population and addressable market initially made it an attractive target market, the abnormal currency weakness experienced over the past two years has been problematic, and it has eroded almost ZAR5 billion of our group's trading profit since FY 2023. During this time, Nigeria accounted for 63% of the rest of Africa's subscriber losses and its contribution to the rest of Africa subscription revenues shrunk from 44% to 25%. As Nigeria remains a meaningful business, it is important that we mitigate its impact on the product group. Some of the key actions we have taken to date, including pushing through price increase in line with inflation to counter exchange rate movements, renegotiating content deals where possible, restructuring select bouquet to drive ARPU, optimizing the DTT network, and pushing hard on anti-piracy efforts and engaging local authorities to assist us in this regard. Turning to Slide 22. Irdeto delivered an encouraging improvement in external business, underpinned by a key customer win in the Asian region and combined with additional managed services provided to a large customer in Australasia. Irdeto Experience, our advanced new video streaming aggregation platform, is gaining good traction and has won the Streaming Innovation of the Year category at the recent industry event, while Irdeto's Anti-Piracy Services won the 2024 Cybersecurity Excellence Awards, its second award of this nature. The business is now also providing services to secure routers for Deutsche Telekom through its Keys & Credentials solution, while Denuvo is gaining further traction in the gaming industry after unveiling its innovative solution to instantly identify the use of bots. KingMakers continue to gain strong traction in Nigeria and is enjoying early signs of success in South Africa. On Slide 23, we look at some key performance indicators. The two graphs on the top left reflect the strong growth momentum in Nigeria with monthly active online users up a further 27% year-on-year. Online revenue grew 60% year-on-year in naira, underpinned by a much larger customer base and a very strong performance in the visuals and gaming segment. In South Africa, a recent industry report highlighted that the sport betting, which is already estimated to be ZAR36 billion industry, had grown 51% over the past year. Given this upward momentum, we are very happy that SuperSportBet reported a 10-fold increase in net gaming revenues over the past nine months. Other operational highlights include the very successful launch of Aviator in Nigeria and South Africa, while the new online casino offering in Nigeria is also doing well. The ongoing optimization of the agency network has resulted in enhanced overall returns. In terms of its financial performance, KingMakers grew its naira revenues by 53% over the reporting period. Due to the weak naira, this translated into $48 million. Although the Nigerian business remains profitable, the group reported an EBITDA loss due to head office expenses and the start-up costs in South Africa. It retains a healthy $96 million in cash to fund its operations. That concludes my section of today's presentation. I would now like to hand over to Tim for the financial update.
Tim Jacobs: Thank you, Calvo. As we've outlined in our trading statement and as mentioned by Calvo earlier, our interim results were hard hit by factors that also affected our financial year 2024 performance. This included severe and unexpected currency depreciation, weak subscriber growth due to poor macro dynamics, and the cost of investing in Showmax, which we expensed through the income statement. Times like these, where we are faced with multiple headwinds, require us to substantially rethink our cost base to offset these pressures and position us for the future. This is exactly what we've done over the past six months. So, let's turn to Page 25 for an overview of how this played out in our financials. Last year, we generated ZAR5 billion in trading profit. In the first six months of this financial year, we delivered a ZAR1.6 billion improvement in the core business through inflationary pricing and our cost efficiency drive. Consequently, trading profit before investments and foreign exchange were up a significant 32% year-on-year. This created some headroom for our Showmax investment, which was ramped up by ZAR1.6 billion in order to create capacity for growth. The result was an organic trading profit of ZAR5 billion that is fairly similar to last year despite the Showmax cost. Unfortunately, a ZAR2.3 billion foreign currency hit, mainly due to the significant depreciation of the naira, severely impacted our reported trading profit, which closed at ZAR2.7 billion, materially down year-on-year. We expect the currency impact to ease in the second half of financial year 2025 as we lap the weaker naira comparative and because of the relatively more stable currency environment this year. Moving to Slide 26, we look at subscriber numbers and subscription revenue. The chart on the left shows our active subscribers, down 11% year-on-year, mainly due to a material drop in the rest of Africa's customer base for reasons which Calvo has already explained. One positive is that subscriber trends on a sequential basis have improved with this interim period reflecting a 5% decline in the base compared to a 6% decline in the second half of the previous financial year. As a result of our annual price increases to offset the impact of inflation, subscription revenue on an organic basis increased 1% year-on-year to ZAR20.3 billion. This was the net result of a 5% organic growth in the rest of Africa and 18% organic growth reported by Showmax, partially offset by a 2% decline in subscription revenues in South Africa as a result of lower volumes and a change in mix. Again, the impact of weak local currencies in rest of Africa markets against the U.S. dollar materially impacted reported results. A 28% decline in the contribution from the rest of Africa, and lower revenues from Showmax due to the one-off impact of the discontinued Showmax Pro and Diaspora offerings resulted in a 13% reduction in the group's overall subscription revenues on a reported basis. Slide 27 shows our revenue growth split by business segment and type. Group revenue of ZAR25.4 billion represents an increase of 4% year-on-year on an organic basis. South Africa's revenue grew 1%, supported by a 3% increase in advertising revenue on the back of a strong sports schedule, and a 46% rise in decoder sales as a result of increased pricing to support a more economical subsidy strategy in a mature market. Revenue in the rest of Africa was up 7% organically, underpinned by price increases, which supported subscription revenues. Advertising revenues were negatively affected by the exit of high-profile international consumer brands from the Nigerian market. Irdeto delivered a 12% organic increase in revenues due to improved traction from innovative services provided to external customers. Insurance premiums grew a healthy 31%, supported by an improved product mix and the launch of the device care plan. Incorporating the impact of currency weakness, revenue declined 10% year-on-year on a reported basis. Slide 28 provides a summary of our trading profit and margins. South Africa's trading profit of ZAR5.2 billion remained flat year-on-year. The benefit of material cost savings offset the negative impact of lower subscription revenues and a weaker rand against the dollar, resulting in a trading profit margin of 31%. Organic trading profit in the rest of Africa increased almost six-fold to ZAR2.1 billion. However, significant foreign exchange losses wiped out this gain on a reported basis, resulting in a negative 3.5% trading margin, which I'll unpack in more detail on the next slide. Irdeto's trading profit margin narrowed to 21.4%. Ongoing cost management and growth in external revenues were offset by lower internal MCG revenues in conjunction with a weaker margin mix. Trading losses in recently relaunched Showmax increased from ZAR800 million to ZAR2.4 billion, impacted by a step change in general entertainment content costs, increased Peacock platform costs due to incorporating unique Africa solutions and partner integrations, and higher sales and marketing expenditure to support market and partnership launches. On Slide 29, we provide our standard trading profit bridge for the rest of Africa. Last year, this business segment reported a ZAR330 million trading profit. This year, it benefited from inflationary price increases averaging around 17%, which offset the negative impact of subscriber losses. This gain was further supported by tight cost management, especially subsidies, as we continue to right-size the business. As a result, organic trading profit increased materially from ZAR330 million to ZAR2.1 billion. Currency headwinds amounted to a considerable ZAR2.3 billion and reversed all the gains made on an operational basis. This was caused by major currency weakness in Nigeria, Zambia, Angola, Malawi, and Ghana, coupled with a negative impact of translating the segment's U.S. dollar revenue against a stronger rand. The net result was a trading loss of ZAR300 million on a reported basis. Moving to Slide 30. We analyze our operating leverage and cost savings. Over the past six months, costs escalated more than our revenues due to the strategic investment in Showmax, resulting in a negative 1% operating leverage measured on an organic basis. Excluding the Showmax costs, organic operating leverage was a positive 6%. A key underpin to these results was a material ramp-up in cost reductions. The ZAR1.3 billion in sustainable cost savings delivered in the interim period represents 5.8% of the group's cost base. The most significant savings were extracted from various SG&A expenses grouped together as other initiatives, as well as content costs and sales and marketing expenses. We also reduced decoder subsidies by another ZAR400 million in addition to the ZAR1.5 billion in decoder savings last year. Future cost savings are likely to be derived from renegotiated content agreements upon renewal of rights, ongoing general business efficiency drives, lower costs associated with capital projects, and reduced transponder costs. On Slide 31, we reflect on adjusted core headline earnings, the Board's measure of the underlying performance of the business. This metric shows a marginal profit of ZAR7 million. Not only did the ZAR2.3 billion in foreign exchange losses in the rest of Africa and the ZAR2.4 billion investment in Showmax impact negatively on trading profit, but the South African business incurred realized foreign exchange losses on the hedge book due to the strengthening of the rand, offsetting the benefit of lower cash extraction losses from Nigeria. Losses on cash remittances amounted to ZAR23 million of the minorities compared to ZAR410 million the year before. Lower taxes arising from lower profitability and lower tax provisions across our markets resulted in a ZAR900 million benefit. Slide 32 provides an update on our free cash flow, which was down 48% year-on-year. The waterfall graph highlights the key movements during the half. Starting from the left, we generated ZAR1.1 billion in free cash flow in the comparative period last year. The lower EBITDA resulted in a ZAR2.8 billion net outflow in the interim period. Content payments came in ZAR1 billion lower due to negotiated cost savings, increased business efficiencies and benefits from prior year prepayments. Lower inventory purchases given higher opening stock levels and better inventory management resulted in a ZAR1.1 billion cash flow benefit. This left the group with a net ZAR600 million free cash flow for the half. On Slide 33, our balance sheet continues to reflect a healthy liquidity position. Our cash balance at the end of September stood at ZAR5.7 billion. We retain access to ZAR4.4 billion in undrawn group borrowing facilities, which combined with the cash represents more than ZAR10 billion in total available funding. Existing short-term cash commitments and in liquid cash amounts to ZAR2.2 billion. We will receive ZAR941 million, net of CGT, upon the closing of the sale of 60% of our insurance business to Sanlam anticipated in November this year. This will leave us with ZAR4.5 billion in available cash, providing sufficient financial flexibility to fund our business plans. Our debt position remained unchanged at ZAR12 billion. And after including satellite leases, the group's leverage ratio is 1.9 times, well within our debt covenants. This wraps up our overview of our financial performance. So, let's turn to Slide 35 for our outlook on the remainder of the year ahead. While the group continues to work towards a successful conclusion of the CANAL+ mandatory offer process, the operations are being managed on a business-as-usual basis. We are investing in the long-term future of the business for the benefit of all stakeholders while navigating short-term challenges through carefully considered trade-offs. In this context, the group remains focused on the following strategic priorities: optimizing the cost base with an increased cost savings target of ZAR2.5 billion for financial year 2025, protecting profitability in the South African business to ensure we deliver a trading margin in the mid-20s, and adjusting the cost base in the rest of Africa so that we can return this business to profitability. We will also continue to scale our new businesses, specifically investing behind Showmax in its quest to become the leading streaming platform on the continent, while also supporting ongoing momentum in Kingmakers and Moment, and driving growth in the DStv Internet and Insurance businesses. Importantly, we will also be resolving the negative equity position by the end of November, as Calvo has explained. That concludes our presentation for today. Before we take some questions, let's take a look at a short video highlighting some of our products and services. [Presentation]
Operator: Thank you. We will now be conducting the question-and-answer session. [Operator Instructions] The first question we have is from Jono Bradley of ABSA. Please go ahead.
Jono Bradley: Good afternoon and thanks very much for the opportunity to ask questions. Just three from me, please. Firstly, on cost savings, could you remind us on the timeline for transponder lease renewals and when the related cost savings might begin to materialize? Are there any sort of cost savings related to this in the second half that we should expect? Secondly, with leverage currently at 1.9 times and trading profits typically lower in the second half, it looks like leverage could exceed 2 times by year-end. Could you just remind us of any debt covenants in place and what those are? And could you highlight any factors that might help offset the lower EBITDA to keep leverage below any covenant level? And then lastly, just regarding cash burn in Showmax. Are trading losses and cash outflows expected to increase in the second half for Showmax? And do you anticipate this year to be the peak year for Showmax losses? Thanks very much.
Calvo Mawela: Yes, thank you very much. It looks like all these questions are related to finance and Tim will take care of it.
Tim Jacobs: Thanks Calvo. Guys, just to let you know, if you ask me some really tricky questions, I'm going to be bumping them to Byron, who's sitting with us here today. Okay. So, your first question was talking about the cost saving time lines on the transponder renewals. So, they start this financial year in the second half -- late in the second half. So realistically, we're expecting to see the first meaningful savings coming through in the FY 2026 year. But we have a number of transponder renewal or contract renewals that happen between now and financial year 2027. So, we obviously have two orbital locations, and we have a number of satellite leases on each of them. So we're expecting to see over the course of 2026, 2027, and 2028, the bulk of the savings being kind of banked into the numbers. So, that's from a timing perspective. The second question was our leverage of 1.9 times and could this be exceeded by year-end? Obviously, this is something that we're watching very, very closely. And we're monitoring this. We do not believe that we are going to be in breach of any of our bank covenants at year-end. And we do watch this quite closely. You asked what the covenants for the banks were on leverage, it's 2.9 -- sorry, 2.5 times. So, that's the number that you need to just keep in mind. And the third question related to cash burn in Showmax, we're still looking at this year as being the peak year of investment. What we're busy with in Showmax currently is breaking out additional payment channels. We started off when we first launched with seven to eight payment channels. We need more than that, keeping in mind that our DStv business is over 200. So, we're rolling out that to enable easier access and adoption. At the same time, we are busy working on customer journeys with a number of our distribution partners that will go live once those distribution -- sorry, those customer journeys are complete. So, these are typically your MNOs, your mobile operators, some of your key banks. You guys would have seen us announce a deal with Showmax and Capitec Bank this year. We're looking to do -- to fix and make a lot more -- have a lot smoother transition from trying to see an offer to being able to pay and basically start watching. So, all of those are in progress at the moment, and these are key enablers for the Showmax business going forward. What we do recognize, guys, is that -- when I say guys and ladies -- what we do recognize is that we cannot afford to have Showmax cash burn at the levels that we're seeing this year. So, we are asking their team and we're looking very carefully at the levers that we can pull in order to reduce that cash burn by the time we get to the next financial year.
Jono Bradley: Thanks very much.
Operator: The next question we have is from Jared Hoover of RMB Morgan Stanley. Please go ahead.
Jared Hoover: Afternoon Calvo and Tim. So, a few questions from me, please. I thought I'll just start off with adding on to one of Jono's questions. Maybe ask it slightly differently in terms of the factors that you might have to increase -- offset EBITDA to keep leverage low. And I'm not sure if you can share this, but in your business plans, what kind of cash flow are you expecting from Comcast to help you fund the trading profits or the trading losses from Showmax in the near to medium term? So, that was my first one. Then my second one is, I know you've spoken earlier about satellite transponder cost savings in the near to medium term. But I just wanted to get a sense in your rest of Africa business. I mean you've had a swing in trading profit from positive territory into negative territory. But I wanted to get a sense of the room you have to continue cutting costs in that business given that you're seeing an accelerated decline in subscribers in Nigeria, but also Zambia now. And then my third question is just on Showmax. I mean, I think we've seen subscriber growth at plus 30% to 50% year-on-year. And my sense is that that might not necessarily be strong enough to achieve your implied five-year subscriber target of about 25 million subs. But I guess my question really is to what extent are you seeing subscriber growth being impacted by accelerating the rollout of those products too fast? And I appreciate that you've got a limited kind of window in order to do this given the global OTT players are pulling back on Africa. But do you get the sense that maybe accelerating those products too fast is negatively impacting things like payments integration and your customer journey with the telcos and Capitec and M-PESA, et cetera? I'll leave it there. Thanks.
Calvo Mawela: Maybe let me start with the last question on Showmax. As you know, we just recently launched, we try to launch later than anticipated. Out of those that launch, there were some early traction that we have seen that we were comfortable with. However, the exact timing of this type of products when we launch them, you will always be monitoring it as it happens. What we know for a fact is due to the payments integration that we still need to put in, there are limitations in terms of the growth that will come through after this relaunch. That's why Tim has explained that there is a lot of work that is being done to make sure that we increase the number of payment points. The partnerships work as we expect them to work. And over time, we should be able to have a good idea of what the subscriber numbers are going to look like considering the five-year plan that we had outlined before. Tim, I'll hand over to you to speak to the costs.
Tim Jacobs: Okay. So, Jared, let's just talk a little bit about factors to offset EBITDA and keep the leverage low. So, there's a number of issues here, right? The first one is as a general rule, we try to be relatively optimistic when we get into the festive season because the festive season is where we do add a lot of subscribers on to the base. And that, of course, helps profitability, although normally that's quite close to year end. So, it will be -- we're hoping to have a good festive this year, but we're not banking on that as the only factor. At the same time, we're looking, for example, to accelerate the cost saving in the business. We've already indicated that we're looking to double the cost savings from the first half into the second half with at least ZAR2.5 billion in savings. Obviously, if it's possible, we're going to certainly try to overachieve on that number. Thirdly, there are -- as we mentioned, there are in our rest of Africa orbital slots, there is a lease liability that is coming up for renewal. As that lease liability comes up for renewal, the lease expenses that are added into your debt for the purpose of this EBITDA calculation, obviously that then that potentially reduces that ratio. So, we're looking very carefully at how we re-sign those transponder leases. We're trying to find a way to do them in a way that's potentially not a lease liability. It could be a service contract. So, we're looking at those. We're also looking at duration on those leases. So, rather than signing a very long-dated lease, we're looking at potentially much shorter-dated transponder leases. We're keeping in mind that we have a CANAL+ deal looming on the horizon. So, when we commit ourselves to contracts, we're trying not to go for very long-dated stuff like we did in the past. So there's a number of factors that we believe we can implement in order to make sure that that ratio stays within the covenant level. And then the second part of that question related to Comcast funding. You'll remember that Comcast, as a 30% shareholder in that business, funds its 30% share of the obligations. So, we've given a steer on the Showmax business that the half year was ZAR2.4 billion of spend. The second half, we think just given the cyclicality of our business, will be slightly higher with additional acquisition costs around the festive season. So, you can do your own modeling as to the full year number, but Comcast will then pick up 30% of that funding number. The second question that you asked was how much savings is sitting in the rest of Africa and what is the room to keep cutting costs. So, remember that there are direct costs associated with the rest of Africa footprint, and there are also indirect costs that sit in the combined South African business that supports both the South African territory and the rest of Africa territory. So, this is why when we typically talk about cost cutting, we don't generally talk about them in the two different buckets. We talk about holistically saving costs and wherever those cost allocations happen, that segment gets to benefit directly from it. We don't cross-subsidize. We have very clear transfer pricing models in place. So, if the cost is saved and it relates to rest of Africa, rest of Africa will get that saving. But clearly, one of the savings that will happen is the first round of transponder cost savings, which will have a small impact in the current financial year, but a much bigger impact in FY 2026.
Jared Hoover: Great. Thanks. And I just wanted to clarify one point, just to make sure I heard you and understand you correctly. You said for Showmax that your full year spend is going to be a little bit more than double what you spent in the first half. So, probably close to ZAR5 billion at a trading loss level for Showmax. Is that correct?
Tim Jacobs: Apart from the number, the principle is correct, yes.
Jared Hoover: Okay, perfect. Thank you.
Operator: We have no further questions on the conference line, and I would like to hand over to Meloy for any webcast questions.
Meloy Horn: Thank you, Irene. We have a question here asking about the EBITDA figures for Kingmakers in Nigeria. We've disclosed all the information on the Kingmakers business that was approved by Kingmakers in the slide in our deck. We are a minority shareholder. And so as a result, we're not at liberty to disclose additional information outside what was already included in the deck. Then we have a question around the Showmax trading losses for second half, which has been answered. And also Tim has indicated that we're obviously looking at the Showmax business plan as a whole and that we do not anticipate spending at these levels, and we'll obviously get back to the market once we've looked into all of that. And then there was another question asking about the negative year-on-year revenue growth for Showmax and whether that relates to the fact that it's mainly coming from rest of Africa and therefore, impacted by FX, I would imagine. And the answer is, no. We have footnoted in our results deck that the revenue contribution from Showmax has been impacted by the fact that we've discontinued the Showmax Pro and the Diaspora products last year. It was before we relaunched the Showmax platform in February this year. And as a result of discontinuing those two services, it had an impact on the revenue growth. And maybe just as a follow-up on volunteer, the reason why that was discontinued, firstly on the Pro was because we wanted to create the capacity and flexibility to launch new sports products and services on the new Showmax platform. And then with regards to Diaspora, there was an issue with the rights in these other markets outside of Africa, given our partnership with Comcast. So, it wasn't anything in terms of the fact that it's mainly in rest of Africa. In all honesty, we're getting most of the growth from South Africa at the moment because we haven't really actively pushed into the rest of Africa as yet. And then there's one more. I think this one I'm going to hand over to Calvo. It's a question to provide an update on the status of the CANAL+ transaction and the regulatory process. Calvo?
Calvo Mawela: Yes. Thanks Meloy and thanks for the question. We made our filing on the 30th of September 2024, jointly with CANAL to the South African Competition Commission as required. We are also actively engaging with other regulatory bodies. And in terms of the Competition Act, this has been classified as a large merger. So, we require approval of the Competition Tribunal in South Africa. This will happen after the Competition Commission has evaluated our submission and made a recommendation to the Competition Tribunal. We have had interactions with the Competition Commission, and we continue to cooperate fully with them. The same applies to all the other regulators that we still need to engage with on the continent as well as [indiscernible]. In terms of timing, at this stage it's still very early for us to be able to indicate the timing, but we are happy that immediately after our filing, we have had meetings with the Competition Commission and those meetings demonstrate that they are actively looking into this filing that we have made with them, and we'll update you as we progress with the competition authorities.
Meloy Horn: Calvo, and then just on that, I mean, we had a similar question, but also then extending that to say if there's filings in any other jurisdictions?
Calvo Mawela: Yes, there will be filings that are following shortly. The one that is imminent is COMESA, which has a number of countries, a group of countries, which is very important, and we will be filing during the course of this month.
Meloy Horn: Thank you. And then there's a question whether there's been a discussion with funders to preemptively provide additional headroom in the debt covenants?
Calvo Mawela: So, when we shifted into a negative equity position, we immediately engaged with all of our banking partners. And in fact, we -- as a regular and a routine process, we engage with our banking partners extensively on our results at every six-month period, so for the half year as well as the full year. We've obviously had extensive discussions with them around the negative equity position, how we plan to bring that back to positive equity. We've spoken in depth with them around our forecasts. And we are constantly engaged with them. We haven't specifically engaged with them to change any of the covenant ratios because at this point, we don't feel that that's necessary. But certainly, we are in regular and ongoing discussions with them at all points in time, specifically because they are so important to our business and to our ongoing liquidity. So, we're very comfortable that if that discussion needed to happen, we'd be in a position to engage with them immediately around it.
Meloy Horn: And then I have a follow-up question. So, just to clarify, your response in terms of Showmax's second half costs. So, the answer is not to say the second half number would be double what it was in the first half. What Tim was saying is that in the second half, the cost will be marginally higher than the first half because our business is typically skewed towards the second half. We have more marketing costs, et cetera, over the festive period. So, just to clarify that specific question. That's the end of the questions I have online. Irene, if you have no more questions on your side?
Operator: We have a follow-up question.
Meloy Horn: Sure, go ahead.
Operator: Thank you. We have a follow-up question from Jared Hoover of RMB Morgan Stanley. Please go ahead.
Jared Hoover: Hi, two more please. One, just on your put option value for Showmax. Can you just remind me about what the movement on that has been in the first half of the year? And whether any of that has to do with changes in operational assumptions or terminal growth rates? And then my second question is just on your insurance transaction. It looks like you're pretty confident that that is going to be closed in November. And my understanding is that that business is then going to become an associate and your equity accounted below the trading profit line, but it also has a higher margin than the South Africa business. So, once you strip that out, are you still comfortable that you'll be able to hit that mid-20-ish trading profit margin for the full year, given that the second half of the year is usually quite a lot lower from a margin perspective? Thanks, I'll leave it there.
Tim Jacobs: I'm guessing these are minor questions for me. So, on the put option valuation for Comcast, the movement for the first half was a decrease in the put option value of about ZAR200 million. It came from two primary areas. There wasn't a major reworking of the business plan. But what we did do is that in the current year, there's obviously an amended forecast that happens, and we took that into account. We also took into account that interest rate, the interest rate cycle has started to decrease, and that obviously factored into the discount rate that we were using. So, there were very small modifications at the half year, and that resulted in that ZAR200 million decrease in the put option value. The second question relates to the sale of our insurance business. We are expecting that deal to close in November. And we only have one condition presently outstanding, and we're expecting that to be any day now. As soon as that happens, we will release the SENS announcement to the market to let everybody know that that deal has been closed. There are a couple of immediate benefits that come from that. The first one is the payment of the upfront valuation amount of ZAR1.2 billion. There's obviously a tax component attached to that. So, the net receipts from our perspective will be just under ZAR1 billion, about ZAR940 million. And notwithstanding that it is a high-margin business in the South African structure, we're comfortable that the South African margin for the full year will still remain in that mid-20 target guidance range that we've given.
Jared Hoover: Thanks Tim.
Operator: Thank you. We have no further questions on the conference call.
Meloy Horn: Thank you, Irene. We also have no more questions online. So, I guess that then concludes today's session. If you have any follow-up questions or anything is unclear, please feel free to reach out to the IR team, investorrelations@multichoice.com. Thank you very much everybody for attending.